Operator: Good afternoon everyone and welcome to the DHI Group Incorporated Second Quarter 2020 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please also note today's event is being recorded. At this time I'd like to turn the conference call over to Mr. Todd Kehrli of MKR Investor Relations. Please go ahead. 
Todd Kehrli: Thank you, operator. Good afternoon and welcome to DHI Group's Fiscal 2020 Second Quarter Financial Results Conference Call. With me on today's call are; DHI's CEO, Art Zeile; and Chief Financial Officer, Kevin Bostick. Before I turn the call over to Art I'd like to cover a few quick items. This afternoon, DHI issued a press release announcing its fiscal 2020 second quarter financial results. This release is available on the company's website at dhigroupinc.com. The call is being broadcast live over the internet for all interested parties and the webcast will be archived on the Investor Relations page of the company's website. I want to remind everyone that during today's call, management will make forward-looking statements that involve risks and uncertainties. Please note that except for the historical information, statements on today's call may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used the words anticipate, believe, expect, intend, future and other similar expressions identify forward-looking statements. These forward-looking statements reflect DHI management's current views concerning future events and financial performance and are subject to risks and uncertainties and actual results may differ materially from the outcomes contained in any forward-looking statements. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales, the adverse impact of and uncertainties surrounding the COVID-19 pandemic and other risks and uncertainties discussed in the company's periodic reports on Form 10-K and 10-Q and other filings with the Securities and Exchange Commission. DHI undertakes no obligation to update or revise any forward-looking statements. Lastly during today's call management will be referring to specific financial measures which include adjusted EBITDA, adjusted EBITDA margin and net debt which are not prepared in accordance with U.S. GAAP. Information about and reconciliations of these non-GAAP measures to the most directly comparable GAAP measures is available in our earnings press release and on our website at dhigroupinc.com in the Investor Relations section. I'll now turn the call over to Art Zeile, CEO of DHI Group. 
Art Zeile: Thank you, Todd. Good afternoon everyone and welcome to our fiscal 2020 second quarter earnings conference call. As always we appreciate your interest in DHI. I want to begin by saying a few words about COVID-19 and our response to this global pandemic. Our foremost concern at DHI is to ensure the health and safety of our DHI community. As such, when the pandemic began to unfold in mid-March we at DHI jumped into action to aid our communities by launching COVID-19 resource centers on each of our brand sites to assist both clients and candidates alike with information relevant to their needs in these challenging times. These sites provide information on virtual career fairs open remote job posts real time high re-trends industry insights, articles and hiring resources. We also launched a campaign to provide free recruitment services to U.S. hospitals to help them find technologists in fields like electronic medical records, healthcare administration and computer system processing. Also all our employees have been working from home using the best possible remote communication and collaboration tools and our team members including sales and support, marketing and product development continue to be highly effective. In fact our product development team actually gained efficiency working for home this quarter delivering dozens of new product releases. I'll dive more into these product releases later in the call, but first let me provide a quick update on the current market environment for tech jobs. The pandemic is certainly challenging the way we all live and work. We saw job postings drop in the early part of the quarter that come back to the trailing 12-month average levels in June and July as companies became more confident in their hiring strategies. Many firms serving highly impacted industries have paused, while reduced their hiring plans. And we believe that our bookings are highly correlated to the state of geographical restrictions and reopenings which certainly remain influx. It's clear that our collective future will be more online and businesses will accelerate their efforts to digitize. These efforts will of course require technologists. A recent report released by Microsoft in July predicts that the worldwide digital jobs will grow from $41 million in 2020 to a $190 million in 2025. Of the $149 million new digital jobs created, $98 million are forecast to be in software development. With our technology skills data model, in technology focused marketplaces we stand ready to capitalize on this trend. Now let me provide some more detail regarding the product development efforts I mentioned earlier. During the second quarter our product development team continued to deliver a high pace of product innovation. With the release of Dice recruiter profile, we took the first leap forward in Dice's transformation from a job board to a full-scale career marketplace. Dice recruiter profile allows our client recruiters to enrich their brands with photos, personal information, details of our corporate culture and improve important news, as well as information about latest hires, upcoming events and future hiring needs, all of which create more transparency and personalize the recruiter behind the role. Candidates can now discover the recruiters that are aligned with their interests and use recruiter profile information to better engage on job postings and respond to outreach. With the Dice marketplace, we're creating a trusted environment where recruiters and candidates can learn much more about each other to facilitate more effective career discussions. We also launched Dice remote jobs. The pandemic has demonstrated the candidates can successfully work from home and want to do so and more jobs are predicted to be remote-qualified in the future. Remote job opportunities has been the top requested feature by both clients and candidates since the start of the pandemic and the views for these job postings have been significantly higher than non-remote job postings. This is an excellent opportunity for employers to tap into pools of remote workers across the United States to increase talent pipelines and diversify their workforce and we at DHI want to be the leader in the technologist's part of this important trend. We also launched ClearanceJobs automated recruiter workflow in the quarter which we believe is a true game-changer. Workflow is an easy to use set of tools that allow our recruiter to automate routine tasks in today, including talent sourcing, pipelining, engagement, marketing and it works. When specific candidate activities occur, they trigger automated pre-planned actions and responses. As an example, if a recruiter is looking for an Oracle database administrator in California, when a new candidate with the correct profile registers on database, Workflow will automatically connect the recruiter with the new candidate, tagged on their pipeline, produce an email introduction and generate a text notification that all of this has been completed. Our internal estimates indicate that, this powerful set of tools can eliminate approximately 3.5 hours of administrative task time, per recruiter, per day. ClearanceJobs is the only career site in the world, that incorporates this capability. ClearanceJobs continues to be DHI test-bed for key market leading features, like this one of a kind technology. We also launched eFinancialCareers, enhanced candidate profile during the quarter. eFC candidates, can now expose a richer profile, equivalent to that offered on ClearanceJobs to recruiter specializing in their respective field. And in mid-July we launched eFC Follow, Voice and Video. These features complete by eFC marketplace, delivering a rich set of communication tools, for recruiters and professionals to engage in career discussions. Now finance and tech professionals and recruiters can connect virtually with video and voice calling, as well as instant messaging all, through the eFC platform. We have many new releases planned for the remainder of the third quarter. Dice is completing the design for its own enhanced candidate profile and messaging system, with an expected launch by year-end. We are working on delivering calendaring, integration for ClearanceJobs. And for eFC, we will be releasing a modern new brand identity, starting with their B2B site. Now let me touch briefly on, the progress we continue to make improving our go-to-market strategy and execution. And then I'll touch on, our sales performance for each brand, before I turn it over to Kevin. We continue to transform our sales organization this quarter with the addition of a new customer success leader, a new Dice agency program leader, and the relaunch of managed services, as sourcing services, with a focus on delivering embedded candidates, for targeted client searches. Much like other trends in our business, we have seen a steady improvement in the demand for sourcing services, since April. Turning to sales performance by brand, for all of our brands, as we were experiencing a check mark shaped recovery, not a V-shape recovery. Dice's current bookings are trending towards their performance pre-pandemic, although our new business teams, including the Dice commercial accounts team, remain challenged, due to the extra conservatism of potential new clients, in this environment. Despite this challenge, the commercial sales team has been heads down, training and improving its core practices. They are becoming more sophisticated in their go-to-market approach and as a result brought in the largest, new business deal in the history of our company. This deal with a large U.S. government agency is worth $270,000, in annual contract value. To put this in perspective, we typically sign new business yields, in the $7,000 to $10,000 range. This success, along with the momentum we saw in signing new customers in the weeks leading up to the start of the pandemic in mid-March, gives us great confidence, that our focus on commercial accounts will be the cornerstone for our growth, as the business environment normalizes. Our renewals with existing Dice plants, while impacted in the quarter as a result of the pandemic, are slowly returning to expected levels. And existing clients have told us that they cannot find appropriate technologists, without our platform. It's important to note, that this dip in renewable based bookings during the quarter, we will manifest itself in lower revenue, for the remainder of the year. As we recognize each booking as revenue monthly, across the duration of the contract. ClearanceJobs has been relatively unaffected by the pandemic, as its performance is generally correlated to the U.S. DOD budget. We are very fortunate that the 2021 Defense Authorization bills appear to be moving forward towards approval. We continue to work hard on expanding CJ's addressable market, through direct sales to U.S. government agencies. And have booked $0.5 million in new contract revenue, through the first half of the year. We expect ClearanceJobs to add several new government customers, as we make our way through the rest of this year. Finally eFinancialCareers remains our most challenged brand. From the Hong Kong protests last summer, to the uncertainty of Brexit last fall, to the current pandemic, eFC trying to face significant challenges that have certainly affected our bookings. The global banking community is still working out the hiring plans, in light of the indeterminate effect of the pandemic, on loan portfolios. We are fortunate that eFC is generally focused on larger banking institutions and counts 50% of the global 100 banks for clients. These institutions believe in online banking future and continue to hire technologists even now. There is no question, however that the uncertainty in the banking industry has weighed down eFC's performance to-date. And we'll continue to do, so at least, through the remainder of the year. As I conclude my remarks, I want to reiterate that we are successfully executing on our plan to build career marketplaces, for matching tech professionals with employers. We believe we have created a better online platform that our competitors, for matching companies with the highest quality tech professionals and with our proven go-to-market strategy, we believe we can capitalize on the millions of new technologist jobs expected over the next five years, and grow our revenue at or above, the market rate of growth. While this growth won't happen overnight and COVID-19 certainly presents uncertainty. We are confident in our business plan and the continued progress, we are making towards achieving our goal. With that, let me turn the call over to Kevin, who will take you through our financials. And then, we'll take any questions you may have. Kevin?
Kevin Bostick: Thank you, Art, and good afternoon, everyone. I'll start by going through the financial results then add a few comments about the business. For the second quarter, we reported total revenues of $33.8 million which was down 8% from the first quarter and down 9% year-over-year, when you exclude the impact of foreign exchange. Dice revenue was $20.5 million, in the second quarter, down 9% sequentially and down 12% year-over-year. We ended the second quarter with 5,450 Dice recruitment package customers, which is down 7% sequentially and 11% year-over-year. During the quarter, we did not see any notable changes to customers leaving the platform, relative to other quarters. However, we did see lower new customers being added. This gives us comfort that our core customers continue to see the value in our platform, even during these challenging times. We maintained our average monthly revenue per recruitment package customer versus the year ago quarter. at $1,131 or $13,572 on an annual basis. This is important, as over 90% of Dice revenue is recurring and comes from recruitment package customers. Our Dice customer renewal rate was 57% for the second quarter, down 13 percentage points, year-over-year and our revenue renewal rate was 61%, which was down 19 percentage points when compared to the same period last year. These lower renewal rates have a minimal impact on in-quarter revenues, but do impact contracted revenue and will result in lower revenue during the term of the related contracts. And while we did see lower in-period renewal rates, that is customers renewing prior to or at contract termination, we are maintaining an ongoing dialog with these non-renewal customers, with the expectation that they will re-sign when there is further recovery in the economy. In addition, we hired a new leader for our client success organization, who is implementing new processes around onboarding and ongoing touch points that should have a positive impact on both customer and revenue renewal rates. As we look at Dice our strategy continues to be on larger customer relationships through moving upstream in terms of our marketing efforts, sales activities and go-to-market approach. We believe this will put us in the best position for stability and growth. Currently approximately 15% of our customers generate 50% of our recruitment package revenue, though no one customer makes up even 1% of revenue. We think this is a good balance of a strong stable revenue base, without having significant customer concentration risk. ClearanceJobs' second quarter revenue was $7.1 million, an increase of 3% sequentially and 18% year-over-year. This continued solid double-digit revenue growth year-over-year is reflective of ClearanceJobs' strong innovative products and competitive differentiation. Second-quarter revenue for eFinancialCareers was $6.2 million, down 15% from the first quarter and 21% year-over-year, when excluding the impact of foreign exchange rates. As expected, COVID negatively impacted our performance for eFinancialCareers during the quarter. In the U.K., which is our largest geography by revenue for eFC, we were impacted by the COVID shut down and U.K. furloughs which have been extended through October of this year. In the APAC region, the eFC's second largest geography, we continue to experience difficulties primarily due to the impact of the pandemic. Turning to operating expenses. Second-quarter operating expenses were $31.3 million, representing a decrease of $1.7 million or 5% year-over-year. This decrease in operating expenses was primarily the result of the comprehensive cost management exercise which began in late March and continues currently. For the second-quarter, sales and marketing expense decreased $1.5 million year-over-year to $12.3 million. The majority of our cost savings was associated with the reduced digital marketing spend for candidates, given that there has been a larger amount of candidate engagement naturally going to the work from home environment. And even while we accelerated the deployment of new product features in the second-quarter our product development expense decreased $617,000 year-over-year to $3.8 million as a result of higher capitalization rates associated with these projects. Income tax expense for the second-quarter was $430,000 resulting in an ineffective tax rate of 19%, which is lower than our expected statutory rate of 25%, due to the allocation of income between jurisdictions. We recorded net income for the second-quarter of $1.9 million, or $0.04 per diluted share, compared to net income of $3.1 million or $0.06 per diluted share a year ago. This quarter's earnings per share had a $0.01 detriment, primarily from severance and related costs that negatively impacted net income. Last year's earnings had a $0.02 detriment from disposition related costs, including the loss on the sale of a business and discrete tax items. Excluding those items, on a normalized basis, EPS for the quarter was $0.05 versus $0.08 last year. Adjusted EBITDA margin for the second-quarter was 23%, up from 21% in the first-quarter and down from 24% in the second-quarter last year. As we stated on our last call, our goal is to manage the business to approximately 20% adjusted EBITDA margins. We were able to exceed that due to the quick action we took to both support our customers and revise our spending, along with the ongoing management of the overall cost structure. We generated $7.1 million of operating cash flow in the second quarter, compared to $11.1 million in the prior year quarter. From a liquidity perspective, at the end of the quarter, our total debt was $37 million. We had $27.5 million of cash, resulting in net debt of $9.5 million. Even with the incremental borrowing in the first quarter, we still have significant borrowing capacity available to us under our credit facility. Liquidity continues to be a key area for us. During the quarter, several customers requested flexibility on billing terms and with our strong liquidity position we were able to provide this flexibility with the intent of retaining active customers and working with them through their challenges. More recently, we have seen the number of requests dropped significantly, which is clearly a positive sign. In total, less than 1% of our customer base requested some form of payment flexibility. Deferred revenue at the end of the quarter was $47.2 million, down 15% from the first quarter. This is due to the impact of COVID-19, as well as more contracts having a monthly or quarterly payment terms as a result of the flexible billing terms I just discussed and the normal seasonality of bookings. When we add the unbilled portion of our contracts to deferred revenue, our committed contract backlog at the end of the quarter was down 11% from the end of the second quarter last year. During the quarter, we repurchased approximately 1.3 million shares for $3.4 million, or $2 56 per share. We used $2.9 million of the $7 million buyback program, which ran through May of this year and $530,000 under the new $5 million share buyback program. We continue to believe the buyback is a recognition of the strength in the long-term prospects of our business. Consistent with our previous programs, we will continue to evaluate investment opportunities in the business against buying back shares, while also using it as an opportunity to offset the impacts of our employee equity incentive programs. As we look ahead, bookings are improving across all teams, but as Art mentioned this appears to be more of a Nike swoosh shape recovery than a V-shape recovery. For Dice, while there is still great uncertainty due to the pandemic, we've seen a stable number of tech job postings in the past few weeks, as companies continue to use technology in their business model. With regard to ClearanceJobs, we expect them to continue to grow, because of their success is correlated to the U.S. Department of Defense budget, which, relatively speaking, has been immune to the environment we find ourselves in. For eFinancialCareers, while it operates in multiple geographies, we continue to expect significant headwinds in our two largest regions, the U.K. and APAC, as a result of the furloughs in the U.K. due to COVID and in addition to COVID, the ongoing geopolitical issues in Hong Kong. While we have relationships with approximately 50% of the global 100 banks providing us more stability in the current environment, we have seen our smaller customers continue to be impacted. As we have mentioned, we continue to evaluate our entire cost structure and have reduced non-headcount-related expenses both operating expenses and capital expenditures. This includes such areas as contractor and consulting spend, marketing spend and third-party vendors spend, while being very disciplined around any head count additions. With regards to marketing, we believe we can still achieve our candidate and client metrics with lower spend as overall digital advertising rates have come down. We remain confident in our ability to manage our expenses appropriately for any revenue changes that might occur. Looking forward, we will operate the business and a manner that maintains our employee base and allows us to continue investing in our business to drive long-term revenue growth and to support our customers in these challenging times. As such, while not providing specific guidance ,we continue to manage the business to margins in the 20% range. Let me sum up by saying that while we continue to find ourselves in very challenging times, we feel our business model provides us some protection and predictability and we are confident in the investments we have made in innovation and sales. We remain focused on the continued execution of our business plan and look forward to reporting on our progress throughout the rest of 2020. And with that let me turn the call back to Art.
Art Zeile: Thanks, Kevin. I'd like to close by once again thanking all of our employees around the globe for their hard work this last quarter. It is a pleasure to be part of such a great team. With that, we're happy to take your questions.
Operator: Ladies and gentlemen, at this time we'll begin the question-and-answer session. [Operator Instructions] Our first question today comes from Kara Anderson from B. Riley. Please go ahead with your question.
Art Zeile: Hey, Kara.
Kara Anderson: Good afternoon, guys. Hey, I'm just wondering if you could provide a little bit more color around the trend within the quarter, maybe comparing what you saw in April to what you saw in June? I know the whole quarter saw kind of a 10% decline on the top line. And if you could even throw in maybe what you realized in the month of July? That would be helpful.
Art Zeile: Absolutely. So I would say that in April, we saw most companies our clients in a position where they were forced to work from home and therefore a lot of business activity just stopped a lot of communication stopped that was true across all of our brands. I would say that we saw bookings effectively hit a bottom in the mid-May time frame and then they rebounded in June and July and continue to do so kind of like what we've described as our checkmark-shaped recovery. I would say that the situation is different for each one of those brands, I believe that in the case of Dice, our largest brand obviously, a lot of people have recognized that they still need technologist maybe even more so now into the future than they did pre-pandemic. And we've seen that even independent views like the use of Burning Glass fee which scrapes all the technology positions across websites U.S. wide rebound to what they were projecting prior to the pandemic. So Dice feels like it is very relevant that we are seeing activity come back with our largest customers. The issue with Dice has always been to a certain extent true of our other brands associated with smaller customers and smaller customers are there was staffing and recruiting firms that can be like ten people and unfortunately they make a bad decision in any kind of an economic environment and they can be out of business. I would say ClearanceJobs has fundamentally gone through this period of time and reset itself to the same level of bookings that it had pre-pandemic. We just had a customer advisory board meeting last week where we asked all of the recruiters that are on our panel what the status is of their activity and they said, it's just as it was before. It's a little bit more difficult to hire in this environment for everybody because you had virtual onboarding and you have a little bit more friction in the process, but they are buoyed by the fact that their firms which are largely military contractors have a very stable source of revenue the U.S. government. I'd say eFinancialCareers is the one brand that has had an extra negative impacts from COVID. I kind of explained it in my remarks that we saw a bookings impact due to the Hong Kong protests last year and then the idea of Brexit whether it would or would not happen and now the pandemic is creating uncertainty for banks and I personally believe that banks had to go through a very quick process to assess their loans and release results over the last couple of weeks. But there is a huge variance in the analyst reports that are coming out on banks as to what earnings are going to be in the future because those accruals for loan losses might be inaccurate, and so that's created uncertainty around hiring inside of the banking world I'd say globally, and in particular in the UK and the APAC region associated with not only COVID, the loss accruals but also just geopolitical events. So that would be my extended version of what we saw in terms of bookings but we are seeing those bookings rebound. Just again not a V-shape recovery inside of the quarter, I'd say it's going to take arguably quarters before we get back to bookings pre-pandemic with all of our brands. Again we are still in uncertain times.
Kara Anderson: Thanks. That's really helpful. Jumping back to the makeup of the customers not renewing at Dice. Are you getting a sense for those smaller customers, are they going out of business, are they just being impacted more greatly so there's just a little bit more uncertainty there? Just wondering if they have the potential to come back or there are customers that we are going to permanently say goodbye to?
Art Zeile: So I'd say that in general, the customers that did not renew with us were of the smaller customers in size. And nevertheless we're still engaging in discussions, we call that a win-back if we essentially get that same customer back within 90 days. And so we believe that as the environment stabilizes and things become better for those particular customers that they will come back to Dice or other platforms. A great example is a customer that I just talked to a couple of days ago who said that his business roughly speaking about 50-person firm had lost 50% of its revenue in April. But they're back to about 85% of that revenue today. So I think as people feel more confident about the economy, quite frankly the number of cases of COVID-19 and geographies that they're servicing, they're going to be feeling more confident about how they engage with our platform.
Kara Anderson: Got it. And then one other question on the credit facility. I guess, just what is the plan there? You drew down last quarter, it seems like you still have it there its execution until kind of the clarity of the environment evolves, are you going to keep it that way or is there a plan to pay it back? Just curious on your thoughts.
Kevin Bostick: Yeah, this is Kevin, Kara. For at least, the near-term we just envision keeping the cash on our balance sheet where we are today at 1.2 times leverage that incremental cost of borrowing is very low and we view it as an insurance policy that's worth keeping. We have evaluated whether we pay it back and I think for right now we just feel comfortable with the cash on the balance sheet.
Kara Anderson: Got it. Thank you very much guys.
Kevin Bostick: Thanks Kara. Appreciate it.
Operator: And our next question comes from Josh Vogel from Sidoti. Please go ahead with your question.
Kevin Bostick: Hey Josh.
Josh Vogel: Hey Art and Kevin, how are you guys?
Kevin Bostick: Excellent. How about yourself?
Josh Vogel: Pretty good. Thank you. I've got a couple for you here. First one hopefully an easy one. You mentioned that the largest new business deal in the history of the company, did you say that was $270,000 annual contract value?
Kevin Bostick: Yes that is correct $270,000.
Josh Vogel: Okay, great. And is that a multi-year or just it's going to be like an annual auto-renewals type thing hopefully?
Kevin Bostick: I'm not sure if it is a multi-year.
Art Zeile: It's a one-year.
Kevin Bostick: Okay. Excellent. Okay, confirming, it’s one year.
Josh Vogel: Okay, great. So understanding some more flexible payment terms and whatnot and Kevin you had, or not I think Art you had a comment around the dip in renewals will be realized as lower revenue over the balance of the year. I was curious, how much revenue comes up for renewal in Q3?
Art Zeile: I am not sure the answer to that one. That's a great question. I would tell you that our two largest quarters for revenue renewal are the fourth quarter and the first quarter, and it's always associated with really the budget cycle associated with larger staffing and recruiting firms. And so I would say that the third quarter would logically be kind of the lowest quarter for revenue renewal.
Kevin Bostick: It is, yes, we do have Q1 and Q4 make up roughly 55% to 60% of the bookings and then the balance of that is somewhat close to being evenly split between Q2 and Q3 with a slightly higher amount in Q2 based on a lot of June 30 calendars and activity we see right around the end of the second quarter.
Josh Vogel: That's helpful. Thanks. Shifting a little bit, the majority of the, I guess, cost savings that we saw in the quarter came in sales and marketing with reduced digital spend. Now, you're saying overall rates have come down, but do you think that once we sort of get back to this new normal, do you think you can maintain this lower level of digital marketing spend or is that going to inherently have to pick up over time?
Art Zeile: I would presume, it's going to pick up from where it is today, but what we found is that we can be more efficient in terms of that spend. So Kevin mentioned that the rates and sells for ad units have come down, as you'd suspect there's less demand, but we've also figured out how to be more efficient. So I'd say that the spend is going to go up, but not to the same degree that it has been historically.
Josh Vogel: Sure. Okay. And you had an interesting comment around ClearanceJobs and how it's kind of reset itself to the level of bookings pre-pandemic. And just kind of thinking, given the sensitive nature of the candidate or the security clearance needed, can you still virtually screen and eventually on-board a candidate for clients or get them into a client facility through all virtual means?
Art Zeile: Yes, yes. They're doing right now that's confirmed. It creates more friction as I described in the sense that the process is generally longer for the recruitment cycle, but they are bringing on candidates right now to all these major military contractors.
Josh Vogel: That's great. All right another one here. You have a strong quarter product releases and enhancements and you talked about the automated recruiter workflow at ClearanceJobs and how it reduces the administrative burden there. I was just curious what are some other metrics or KPIs that you track on some of the bigger rollout to Dice like the Recruiter Profile and Remote jobs, can you share that? 
Art Zeile: Yes we actually track a tremendous number of our statistics we have a data team that's roughly a dozen people that's focused solely on making sure that we are collecting the right data necessary to understand, whether or not product as well as other functional areas of the company are working properly. And so, in the case of Recruiter Profile for example, we track the number of recruiter profiles that are created each day and then obviously trend that over the course of months and then we also track the depth to which the profile is complete. So a percentage of completion is another really super important statistic and these are you know it's relatively early rollout, but there are a number of different metrics and KPIs for every single product generally on the order of dozens that we track to make sure that we see the kind of success and engagement that we had hoped for. In fact, we always actually also put in targets for each one of those metrics, so we're not just tracking them blind, we're tracking them to a goal inherent in the product immune jurisdiction for that particular product.
Josh Vogel: All right, great. And actually just thinking about the number of Recruiter Profiles created each day, how did that trend us from rollout through the end of July?
Art Zeile: It exceeded our expectations and we also kind of blew past the track record associated with eFC and the rollout of their Recruiter Profile and also even ironically for ClearanceJobs when it rolled out, its original Recruiter Profile. So, we think that it's something that people are drawn to because they recognize that by having a profile, the candidate gets a lot more knowledge of the interests associated with the company, the interest associated with that particular recruiter. It creates just a better relationship and more engagement in general. Recruiters are figuring out, if they put themselves out there, they provide more information about them. It's another reason for a candidate to apply to that job and feel more comfortable.
Josh Vogel: That's great. And just one last one kind of a housekeeping item maybe for Kevin. With the tax rate and you talked about the allocation of income amongst jurisdictions, should we expect this to be kind of the new rate going forward or should we kind of be expecting that deals statutory rate of 25%?
Kevin Bostick: I think, we're better off thinking about the statutory rate of 25% for the full year.
Josh Vogel: Great. Well, thanks for taking my questions guys.
Kevin Bostick: Thanks, Josh. We appreciate it.
Operator: And ladies and gentlemen, with that, we've reached the end of today's question-and-answer session. I'd like to turn the conference call back over to Mr. Kehrli for any closing remarks.
Todd Kehrli: Thank you everyone for your interest in DHI Group. To schedule a meeting with Management, please email ir@DHIGroupInc.com or call 212-448-4181. Thanks for joining our call today and I hope you have a great day. 
Operator: Ladies and gentlemen, with that we'll conclude today's conference call. We do thank you for attending. You may now disconnect your lines.